Operator: Ladies and gentlemen, thank you for standing by, and welcome to the REX American Resources Fiscal 2017 Fourth Quarter Conference Call. [Operator Instructions]. I would now like to turn the conference over to Mr. Doug Bruggeman, Chief Financial Officer. Please go ahead.
Douglas Bruggeman: Good morning, and thank you for joining REX American Resources Fiscal 2017 Fourth Quarter Conference Call. We'll get to our presentation and comments momentarily as well as your Q&A session, but first, I'll review the safe harbor disclosure. In addition to historical facts or statements of current conditions, today's conference call contains forward-looking statements that involve risks and uncertainties within the meaning of the Private Securities Litigation Reform Act of 1995. Such forward-looking statements reflect the company's current expectations and beliefs that are not guarantees of future performance. As such, actual results may vary materially from expectations. The risks and uncertainties associated with the forward looking statements are described in today's news announcement and in the company's filings with the Securities and Exchange Commission, including the company's reports on Form 10-K and 10-Q. REX American Resources assumes no obligation to publicly update or revise any forward-looking statements. I have joining me on the call today, Stuart Rose, Executive Chairman of the Board; and Zafar Rizvi, Chief Executive Officer. I'll first review our financial performance, and then turn the call over to Stuart for his comments. Sales for the quarter decreased approximately 10%, primarily due to lower ethanol pricing of approximately $0.27 per gallon. Sales for the full year were essentially flat with the prior year as higher volumes were offset by lower unit prices. Gross profit for the ethanol and by-products segment was down for the fourth quarter from $25.2 million to $10 million, again, primarily due to the lower ethanol pricing. Gross profit for the ethanol and by-products segment for the full 2017 fiscal year was $51.5 million versus $71 million, primarily reflecting lower DDG and ethanol pricing. DDG pricing for the fourth quarter did stabilize and was up slightly year-over-year. We are seeing this trend continue into the first part of fiscal 2018. refined coal segment had a gross loss of $4 million for the fourth quarter and $7.3 million for the year, based upon beginning operations upon its acquisition on August 10th of '17. As we said last quarter, these losses are more than offset by tax benefits recorded from the Section 45 credits. SG&A was down slightly for the fourth quarter, but up on the full year by approximately $2.7 million, primarily related to commissions and professional fees associated with the refined coal acquisition. Equity and income of unconsolidated ethanol affiliates was down for the fourth quarter from $2.9 million to $1.3 million and for the full year from $6.1 million to $3.2 million, primarily reflecting industry dynamics throughout the year. We booked a tax benefit of $18.5 million for the fourth quarter, which reflects a onetime benefit of approximately $14.4 million, resulting from the revaluation of our deferred tax liability from the 2017 Tax Cuts and Jobs Act federal tax rate reduction as well as the benefits from our refined coal operations. We likewise had the benefit for the full year of $19.5 million versus a provision of $17.4 million in the prior fiscal year. The above resulted in net income of fourth quarter of $19.1 million versus $12.4 million, and net income for the full year was $40 million versus $32.3 million the prior year. Our diluted earnings per share for the fourth quarter was $2.89 versus $1.88, and for the full year, $6.02 versus $4.91 in the prior year. Stuart, you can go ahead with your comments now, please.
Stuart Rose: Thank you, Doug. Going forward, we expect the earnings to be approximately flat in the ethanol segment and for the next quarter for the first quarter than when we're currently in, and after-tax earnings to be significantly better versus the first quarter of last year. The primary drivers are going to be a lower tax rate in our after-tax earnings in the refined coal segment. Ethanol, as Doug mentioned earlier, the crush spreads are basically running slightly up over the fourth quarter. We do have more capacity this year based on expanding our plants wherein prices have come down from the fourth quarter. There's still legislative uncertainty out there. Waivers have been granted to some small refiners, but overall, the Trump administration appears to be rejecting major changes in the RINs. But EPA still has a possibility to make those changes, and we're in a wait-and-see mode on that. DDG prices are up over the fourth quarter. Corn also was up over the fourth quarter. Gasoline prices continue to be considerably above ethanol prices, and that should fare well for both our -- both the industry's export demand and also increased blending and increased E85 sales. In terms of refined coal, we entered the business last year. It's a business that loses money on a pretax basis. But based on a tax credit-related reduction in NOx and mercury, it makes money overall. The tax credit allows the overall business to be profitable, and all increases related to that business are accretive. As we were not in that business last year, so every -- all increases will go to the bottom line -- or go to increases over last year during the first quarter and also in the first half. We continue to generate large amounts of cash. Our cash -- our consolidated cash balance was approximately $190 million. The ethanol plant expansions have gone well. Zafar will talk to you a little bit about that after -- next after I finish. We've increased our buyback by 500,000 shares. We will be buying on dips. We look at that as the best way to return cash to shareholders. It's worked for us in the past. As we reduce the number of shares, our earnings per share go up and we hope to stockpile us up. Sometimes it does, sometimes it doesn't. But we have looked -- we have done this historically, and it's worked out well for us over the years. And again, we will look to buy on dips. We don't just buy the stock to buy the stock. We continue to look for ethanol opportunities. At this moment, we don't have any, but we're out there always looking to try and find other really good plants to buy. So far, we haven't been successful. At least in the last year, we haven't been successful in finding any but we keep looking. We continue to look for other profitable energy ventures. The refined coal, for example, was one we found last year. Again, we look for operations that can be accretive to shareholder -- to earnings per share and this was a perfect example of something that met our criteria. Zafar Rizvi, our CEO, will now talk about our ethanol expansion and talk about the ethanol business itself. Zafar?
Zafar Rizvi: Good morning. During the 2017, we made total capital investments of approximately $25 million at our ethanol plants. Almost all the construction work at NuGen and One Earth Energy plants is complete, and we are working in eliminating bottlenecks, which is a very slow process. As I said last quarter, we will continue to increase our production. And at this time, we have no plans to slow down. But it all depends on the crush margin and no media supply bottlenecking, which can restrict the production level. We plan to spend $6 million to $8 million for capital expenses this year, excluding any maintenance and scheduled shutdown expenses. Since the construction work is completed, we will not be really giving any update about construction in the future. As for our concern about the first quarter as concerns of margins, a little bit better than last quarter going forward in the second quarter, but it's all depend again how the demand of what happened with the China and other tariff, as Stuart mentioned, uncertainty about export production level. Stuart?
Stuart Rose: Thank you. In conclusion, we expect earnings in the first quarter to be up significantly over the first quarter last year, primarily related to a new tax rate and also tax savings related to the refined coal business. The ethanol business is currently running roughly flat with crush spreads slightly increasing quarter-to-date over the first quarter last year. We continue to generate large amounts of cash and are hopeful to continue to generate very good returns to our shareholders by both investing further in profitable energy ventures, increasing our buyback program. We have great plant locations, very, very -- they're Fagen/ICM plants, among the best in the business. But the most important thing that we have and the biggest difference between us and why we outperform the ethanol industry is our people. It's our people and it's my belief that there are no better people in the industry than the people that work for REX, and that's really what makes the difference and why we continue to do better than the rest of the industry. At this point, I leave everything open to questions.
Operator: [Operator Instructions]. We do have a question on the phone line, gentlemen. It comes from the line of Robert Littlehale from JPMorgan.
Robert Littlehale: The tax credit for refined coal per short ton is currently what?
Stuart Rose: Little less than $7.
Robert Littlehale: $7.
Stuart Rose: It's not the exact number.
Douglas Bruggeman: For 2017, it was $6.91 per ton.
Robert Littlehale: And that's been going up with inflation. Is that sort of how it scales?
Stuart Rose: Yes.
Robert Littlehale: Okay. And the refined coal operation will be subsidized until 2021. Is that when the facility becomes 10 years old?
Stuart Rose: Exactly. At the end of 2021, there is an attempt to try to extend that. We did not buy into this business expecting it to be extended, but that would be a nice bonus if it ever happen. We do not plan on it being extended, but there are attempts going on currently to extend that a couple of years.
Robert Littlehale: And the compliance inspection is done every 6 months, is that correct, just in terms of the adherence to the certain requirements in terms of the reduction?
Stuart Rose: Doug, do you want to go over that -- do you want to go over that [indiscernible]
Douglas Bruggeman: Yes. Every six months. Yes, there's a test performed every six months to make sure that the regions that we're putting on makes the correct changes to our operative reduction in the admissions that we discussed earlier.
Robert Littlehale: Have you divulged where the facility is?
Douglas Bruggeman: We haven't.
Stuart Rose: No, we're contractually not allowed to.
Operator: [Operator Instructions]. Gentlemen, we presently have no questions on the phone line at this time.
Stuart Rose: All right, well, thank you very much for listening. It's been a great pleasure, and we'll talk to you next quarter. Bye.
Operator: Thank you, ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation, and we ask that you please disconnect your lines.